Executives: Douglas Jardine Flint - Chairman, Chief Executive of Global Asset Management Arm and Director of Hsbc Finance Corporation Stuart T. Gulliver - Chairman of The Group Management Board, Group Chief Executive Officer and Executive Director Iain James Mackay - Group Finance Director, Member of Group Management Board and Director
Analysts: Alastair Ryan - UBS Investment Bank, Research Division Chris Manners - Morgan Stanley, Research Division Rohith Chandra-Rajan - Barclays Capital, Research Division Michael Helsby - BofA Merrill Lynch, Research Division Christopher Wheeler - Mediobanca Securities, Research Division Ian Gordon - Investec Securities (UK), Research Division Ronit Ghose - Citigroup Inc, Research Division Bruce Packard - Seymour Pierce Limited, Research Division Alistair Scarff - BofA Merrill Lynch, Research Division Robert Law - Nomura Securities Co. Ltd., Research Division Gary Greenwood - Shore Capital Group Ltd., Research Division Thomas Rayner - Exane BNP Paribas, Research Division Raul Sinha - JP Morgan Chase & Co, Research Division
Operator: Good morning, ladies and gentlemen, and welcome to the Investors and Analyst Conference Call for HSBC Holdings plc's 2011 Annual Results. For your information, this conference call is being recorded. And at this time I'll hand the call over to your host for today, Mr. Douglas Flint, Group Chairman.
Douglas Jardine Flint: Thank you very much. Hello, and a very warm welcome to everyone who has joined us today. As I was introduced, this is -- it's Douglas Flint, Group Chairman. With me is Stuart Gulliver, Group Chief Executive, and Iain Mackay, Group Finance Director. Before we start, can I just say that at our board meeting on Friday, both I and the board expressed to management our satisfaction with the progress made during 2011. We have begun to execute the strategy that we set out in May last year, reshaping the group, positioning the business for growth and continuing to build sustainable long-term value for shareholders. In a moment, Stuart will talk through you the highlights for the year, then Iain will take a detailed look at our financial performance. And finally, Stuart will cover the performance of the business against our strategic objectives in more detail. Stuart, over to you.
Stuart T. Gulliver: Thanks, Douglas. We'll cover the detailed financials in a moment, but I want to start by pulling out the key points for 2011. As you can see, reported profit before tax was $21.9 billion, up 15% on 2010. But on an underlying basis, profit before tax was $17.7 billion, down 6% on 2010. We have increased dividends paid to our shareholders by 14% to $0.41, paying $7.3 billion to our owners. And as you will see later on, this is less than the amount we retained to strengthen the capital base of the bank and reinvest for the future, but more than the total variable pay for all of our staff worldwide. We think these proportions are correct. We also increased earnings per share by 26% to $0.92 compared with 2010. Moving onto the key highlights. First, you may recall we announced an overhaul and redesign of HSBC last May, and I'm pleased to be able to say that we gained traction in the first 7 months of a 3-year journey, designed to simplify the structure and improve the management and control of the firm thereby improving returns and positioning HSBC for growth. We got off to a quick start, announcing the disposal or closure of 19 nonstrategic businesses, of which 16 were during 2011, including 2 large transactions in the United States. When completed, these transactions should represent a reduction of around $50 billion of risk-weighted assets and the transfer to the acquirers of the equivalent of around 12,000 full-time employees. The capital will be redeployed in our growth businesses. We also have began to delayer the bank with 4 programs to improve our efficiency and effectiveness. These are designed not only to reduce costs and bureaucracy, but also to improve controls. All 3 aims are equally important. Second, we positioned the business for growth. People, especially here in the U.K., often forget that the global economy actually continued to grow in 2011 with GDP in faster-growing markets rising by 6.1% and developed markets by 1.3%. Our businesses outside the U.K. accounted for 80% of revenues and over 90% of our profit before tax. And we grew revenues by 10% in the faster-growing markets. In Commercial Banking, we saw record revenues and profits were up 30% compared to 2010 as we continue to establish our market leadership in global trade, which is a heritage business for HSBC. Our operating expenses for the year were $41.5 billion that include notable items, restructuring costs and investment in faster-growing markets. The operating expenses increased $3.2 billion compared to 2010 and this breaks down as follows: $1.1 billion in higher staff costs, $1 billion increase in restructuring costs recorded in 2011 and $1 billion in other notable items. The higher staff costs were driven largely by wage inflation in Asia Pacific and Latin America, and you will recall we said in May that we would meet these costs to ensure we remain competitive in our key markets. But most critically, our investments in markets such as Asia and Latin America and in Commercial Banking drove profit before tax growth, and had positive jaws, showing that this investment has indeed paid off. Included in restructuring costs are staff-related expenses of $542 million, impairments of certain software projects of $325 million and with the remainder being premises-related. Included under the other notable items are customer redress costs in the U.K. of $898 million, the U.K. bank levy of $570 million and a provision for U.S. mortgage foreclosure and servicing matters of $237 million, in part offset by U.K. pension credits of $587 million. Iain will cover all of this in more detail later. And since we announced our strategy last May, we have already achieved sustainable cost savings of $900 million. This is equivalent to $1.3 billion on an annualized basis. We have also identified a strong pipeline of further sustainable savings to deliver towards the upper end of our target range of $2.5 billion to $3.5 billion by the end of 2013. Third, our return on average shareholders equity was 10.9%, up from 9.5% in 2010, though this includes fair -- favorable fair value movements on our own debt. We have set an ROE target of 12% to 15% and remain confident, as I said at the third quarter interim, of hitting 12%, and the reason is quite straightforward. An ROE of 12% to 15% is supported by a pretax return on risk-weighted assets of 1.8% to 2.6%. The Hong Kong Shanghai Banking Corporation, at a 21.6% ROE, is well above that range and Commercial Banking was already firmly within its return on risk-weighted assets target range. The overall return of the group continues to be depressed by the capital deployed in the U.S. Consumer Finance business and in legacy credit businesses in Global Banking and Markets. Excluding these businesses, which are all in a runoff and the U.S. Cards business, which we are selling, the remainder of the group achieved a return of 2.2%, which is well within the target range of 12% to 15% ROE. So that is why we're therefore confident that we will hit our 12% to 15% by the end of 2013 as promised to our shareholders. Fourth, we continue to generate material amounts of capital. Profit attributable to ordinary shareholders was up 27% to $16.2 billion. $7.3 billion was declared in dividends from after-tax earnings in respect to the year and this compares with $3.4 billion of variable pay awards on the same after-tax basis for the year. Retained earnings were $12.8 billion to strengthen our capital base and to reinvest in future growth. I'm pleased that we're able to show a distribution where for each 100 units, we retained 50, gave 35 to our shareholders and passed 15 to our staff through variable pay. We believe this is an appropriate balance. Now turning to the financial highlights and to recap. We generated earnings per share of $0.92, up 26% on the prior year. Our board approved the dividend of $0.14 for the fourth quarter, bringing the total dividend in respect to 2011 to $0.41, making a total of USD $7.3 billion compared to $0.36 in 2010, an increase of 14% year-on-year. The return on average shareholders equity was 10.9%, giving us confidence that we will hit our target of 12% to 15%. On a reported basis, the cost efficiency ratio worsened from 55.2% to 57.5%, and on an underlying basis to 61%. I touched on the costs numbers a moment ago and this, together with flat revenues year-on-year, explain the move. Our core Tier 1 ratio was 10.1% at 31 December 2011, down from 10.5% in the prior year, reflecting the introduction of Basel 2.5 and loan growth. It is worth reminding ourselves that here we are growing, not shrinking, our balance sheet and this includes increasing our lending to Commercial Banking customers. This, by the way, is in line with the guidance we penciled in on our core Tier 1 range as we journey towards Basel III. As this next slide highlights the heritage of HSBC and where we are seeing growth. It shows the regional profit breakdown, highlighting the contribution of the faster-growing regions, the impact of events in the Eurozone and the runoff business in North America. You can also see some of the striking growth in target markets where we have invested and are already seeing great returns such as China, India and Brazil. In Mainland China, our organic business saw a very strong growth, up 236% to USD $705 million. And whilst our results in North America continue to be adversely affected by losses in the U.S. Consumer Finance business, in Canada, where we have $1 billion business led by Commercial Banking, PBT was up year-on-year and this business is also important in that it is the blueprint for our reshaping program in the United States of America. I'll come back to this slide a little later on. I'll now hand over to Iain to talk through in detail our financial performance.
Iain James Mackay: Thanks, Stuart. This slide shows the reported results, highlighting pressures in revenue and costs, although as Stuart has indicated, there are signs of real progress in both areas, a significant improvement in loan impairment charges, increased income from our associates mainly driven by our Chinese associates and a reduction in the effective tax rate. Now looking at numbers on an underlying basis. Revenue was $68.1 billion, broadly in line with the prior year. We saw a strong revenue growth in faster-growing regions. This included a significant contribution from Commercial Banking and Retail Banking and Wealth Management outside North America and over half of our Global Banking and Markets business lines. In each case, growth has been driven by targeted investment. We experienced headwinds from the turmoil in the Eurozone, which impacted on credit and rates revenue, most notably in Europe, lower income in Balance Sheet Management as expected and the continued managed reduction of our runoff portfolio in the U.S. Loan impairment charges were down, notably in the U.S. Consumer Finance portfolios. More broadly, credit costs remained stable. Although where we have realized significant growth in Commercial Banking and Lending in Latin America and Hong Kong, we have experienced slightly higher loan impairment charges. Operating expenses were $41.5 billion, up 8% on the prior year. This was due in part to an increase in staff compensation and inflation in faster-growing markets, increased compliance and regulatory costs in Europe and North America and in part a number of notable items, which are detailed in the Appendix of this slide pack. Looking at revenues. In the faster growing markets, revenues grew by 10%, accounting for 49% of group revenues, up from 44% in 2010. We saw record revenues in Commercial Banking with higher lending in Asia and Latin America, which helped deliver a 30% increase in profit before tax and strong positive jaws for this business. Collaborative revenues from sales of Global Banking and Markets products and Commercial Banking customers grew strongly in all regions by more than $500 million in 2011. Global Banking and Market's revenues were up in all regions except North America and Europe and in the 6 of our 9 Global Banking and Markets business lines, reflecting investments in recent years. We also grew Retail Banking and Wealth Management revenues in these regions. Elsewhere, revenues were driven down by the impact of Eurozone in credits and rates, lower revenues in Balance Sheet Management and a decline in revenues in North America due to continuing runoff of portfolios in the U.S. More on operating expenses, although those charts provided a good detail in this regard. Cost growth reflected the areas of business expansion and wage inflation, notably in Asia and Latin America. In Global Banking and Markets, costs rose as we invested in the business, for example, in our e-commerce platforms and foreign exchange and then the consequence of increased compliance in regulatory costs in the U.S. and Europe. Separately, we recorded an increase in notable items of $1 billion, including customer-addressed programs in the U.K. principally relating to PPI, the U.K. bank levy, a provision for U.S. mortgage foreclosure in servicing matters. And as mentioned, there's more detail in the Appendix. As we reshaped the business, we incurred additional restructuring costs of $1.1 billion. This includes staff-related costs of $542 million and impairments in certain software projects of $325 million with the balance covering premises and other related costs. We reduced headcount by 11,000 against the end of the first quarter, this being the peak for full-time employees. Looking at the cost efficiency ratio, you can clearly see the positive effects of growth in Commercial Banking and in the faster-growing regions and the impact of revenue headwinds in North America and in Global Banking and Markets in Europe. Looking at the cost progression. You can see the stabilization of operating costs through the year excluding notable items. This has begun to reflect the pattern in headcount. We are focused on delivering efficiency through the deployment of globally consistent business models, lean and efficient support functions driving governance and control and a better mix of front office to back office deployment. We've made real progress in turning the ship on this front. We realized $900 million of sustainable sales, more than $1.3 billion annualized and have a very robust pipeline of projects and the delivery process, which will take us to the upper end of our target range. This is very much of a cultural change at the HSBC and the focus is and will remain intense. Turning now to credit quality. In 2011, there was a significant improvement in credit quality, particularly in North America and Europe. The most significant improvement came in Retail Banking and Wealth Management in North America. In the fourth quarter, loan impairment charges decreased by $900 million compared with the prior quarter as a result of lower increases in both delinquency levels and costs to obtain collateral. HSBC Finance continued to be affected by the extent of foreclosure timelines. However, the overall charge was lower than in Q3. There was also notable improvement in the U.K. due to improved delinquency rates. As we signaled in our interim management statement in November, we saw a deterioration in loan impairment charges in the third quarter in the U.S. Consumer Finance portfolios. This reflected worsening delinquency rates compared with the first half of the year and a rise in our loan impairment allowances as a result of an increase in the expected cost to obtain and realize collateral following delays in foreclosure processing. In Commercial Banking, an improvement in loan impairment charges in North America and Europe was partly offset by deterioration in Brazil as a consequence of business growth in this area. Regarding the Eurozone, our exposure to distressed countries is modest at $4.8 billion to governments and sovereigns in total. Looking at capital adequacy. Our ability to generate capital and funding remains strong. The core Tier 1 ratio was 10.1% at 31st December, down from 10.5% in the prior year. This reflects an increase in risk-weighted assets due to the effect of the introduction of Basel 2.5 and more importantly, growth in lending balances, notably in Commercial Banking, including in our associates and in Mainland China. We took action to mitigate this effect. We expanded the VAR consolidation of market risk and reduced our Global Banking and Markets legacy positions in addition to the continued rundown of U.S. Consumer Finance portfolios. Disposals announced, once completed, will further add to the strengthening capital ratios through a reduction of some $50 billion of risk-weighted assets. This next slide shows the impact of the transition to Basel III as required at the end of 2013 based on the balance sheet at the end of 2011. Mitigation actions include, but are not limited to disposals, notably the sale of our U.S. Card and Retail business. This is the most significant risk-weighted asset disposition; continued runoff of our U.S. CML portfolio; active management and rundown of our legacy credit positions; and actions to manage counter-party valuation adjustment. It's worth noting that our outlook and the impact of Basel III and our actions to mitigate the effects remain very consistent with that expressed during our Investor Day in May of last year. I think it goes without saying, but I'll say it anyway, there remains significant uncertainty in the regulatory front. Importantly, in this chart, we did not show the impact of any capital generation or business growth, an important feature over the course of the next couple of years. This slide gives you a picture of what we do with our profits. On the left, you can see our allocation of profits spread between dividends, net of script; variable pay, net of tax; and retained earnings, which we obtain in order to put back into the economy, generate future growth and maintain our strong capital position. We believe this reflects responsible allocation of the firm's resources appropriately aligned to current regulatory goals and the interest of our shareholders and reflects a long-held management philosophy at HSBC. On variable payouts, you can see the bonus pool was slightly smaller than the prior year. And in Global Banking and Markets, it was down 26%. I'll now hand back to Stuart to talk through the business performance set against our strategic targets.
Stuart T. Gulliver: Thanks, Iain. I want to take you quickly through our strategic scorecard exactly as I set it out at the Investors Strategy Day. We said we would improve our capital deployment through the use of the 5 filters framework. And since then, we have announced the disposal or closure of 19 businesses, 16 of which were announced during 2011 and 3, so far, this year and we do have a number of further transactions in the pipeline. We also set out to improve our cost efficiency. Since May, we have achieved $900 million of sustainable savings, which annualizes at about $1.3 billion. To improve our organizational efficiency and effectiveness, we've developed consistent global business models in Commercial Banking and Retail Banking and Wealth Management, and we have redesigned and reengineered our global functions, processes and IT. We are creating a leaner group, removing layers of management to give staff greater responsibility, improve decision making and controls and to reduce bureaucracy. This delayering process has already begun in our major markets. We have identified a strong pipeline of further sustainable cost savings to deliver at the upper end of our target range of $2.5 billion to $3.5 billion by the end of 2013. We've also made material progress in positioning the business for growth, particularly in the faster-growing markets and in Commercial Banking, and these are already paying dividends. We have set a 12% to 15% target return on average shareholders equity. In 2011, we came in at 10.9%, which included favorable fair value movements on our own debt. As I've explained, we are putting our operational focus on improving our return on risk-weighted assets, which obviously is a key driver of ROE. And here, it's important to note in the lower table that our return on risk-weighted assets, excluding the U.S. Consumer Finance portfolio and certain legacy credit businesses in Global Banking and Markets, is 2.2%. And that's why we're confident that we will hit our 12% to 15% ROE target by the end of '13. Now we reflected on this slide earlier. So this picture epitomizes the opportunity and the challenge for us. We have an enviable footprint in many of the markets that are most important to global economic growth now and from where the marginal GDP growth in the world will come over the next 25 years. This shows what we have been able to accomplish in 2011, and the outlook for 2012 remains positive. In each of these markets, Retail Banking and Wealth Management, Commercial Banking and Global Banking and Markets invested and drove growth with a strong focus in Commercial Banking and Global Banking and Markets on international connectivity, and you'll recall that connectivity was one of our 5 strategic filters. It's also worth noting, since in the West we've not seen interest rate rises for some time, but in several of these markets, including in China and in India, we saw upward movements in policy rates, which given our strong deposit-led funding position, was of benefit to us. The same will be true in other countries at some point in the future. Moving now onto Global businesses, which in 2011, were led by Commercial Banking, and first of all, turning to Commercial Banking. Commercial Banking reported a record profit before tax of $7.9 billion, 30% higher than the prior year. Over the fast -- last 5 years, our cumulative profit before tax in Commercial Banking is $32.7 billion, pretty much all of this has been organic since we have no material M&A. In 2011, revenues in Asia, Latin America and the Middle East were up 20%, led by Brazil, Hong Kong and Mainland China. We improved connectivity across the group as revenues from sales of Global Banking and Markets products to Commercial Banking customers grew strongly in all regions and this generated more than $500 million of incremental revenue in 2011. And we've also continued to establish our market leadership in global trade, helping businesses around the world. Research by Oliver Wyman shows that HSBC now has a 9% share of bank-financed global trade, and we financed $0.5 trillion of trade globally in 2011. Trade revenue increased by 22% to $2.6 billion, of which 75% was generated in faster-growing regions. We also exceeded our 2011 lending intentions under the project Merlin agreement with the U.K. government, both in terms of total and SME facilities. Bank of England statistics showed U.K. bank net SME lending fell 6% in 2011. Ours increased 4%. And just last week, we established a GBP 4 billion fund here in the U.K. to support SMEs conducting international trade. During the second half, we also rolled out a global ecosystem operating model across the business, driving efficiency gains. Revenue growth outpaced cost growth, and Commercial Banking delivered 8% positive jaws. Turning next to Global Banking and Markets. Global Banking and Markets reported profit before tax of $7 billion, which was 23% lower than 2010. Pretax return on risk-weighted assets was 1.8%. If you exclude the legacy credit businesses, which are in runoff, that return is 2.1%, which is within our target range. This is important because it gives us confidence that even in the post-crisis world, this business model is capable of producing the returns that we require. The strength of the business was demonstrated by the fact that revenues grew strongly in all of the faster-growing regions and in 6 of our 9 business lines and these included: Security services, payments and cash management, equities, foreign exchange and financing and equity capital markets, with growth coming particularly by region in the rest of Asia Pacific and in Latin America. We continue to invest in the business to support growth, for example, in e-commerce platforms to improve our product offerings in foreign exchange. Our e-FX platform is now live in Hong Kong, London and New York, and this investment contributed to the 16% rise in foreign exchange revenues in 2011, an investment expense that, again, resulted in returns for our shareholders. And we began to see some market share gains, in particular, in Global Banking and Markets and CMB in the Middle East and Asia as European banks focused on other priorities. In Retail Banking and Wealth Management, reported profit before tax was $6.6 billion, up 6% on 2010. In this business, the pretax return on risk-weighted assets was 1.2%. But excluding the U.S. consumer portfolio, return is actually 3.9%, which is above our target range. While the business does continue to be affected by the U.S. runoff portfolio, we did actually grow revenues in Asia and Latin America by over 7% during the year and we've also put the business through the 5 filters analysis to improve our portfolio and drive superior returns. As a result, we announced 15 disposals or transactions with more in the pipeline, and we also continue to reposition our Consumer Finance portfolios in Mexico, India and the UAE. In summary, 2011 was a year of material progress for HSBC. In the 7 months since May, we have gained traction in delivering our 3-year strategy. We saw a strong performance in faster-growing markets and we had a record year in Commercial Banking. We remain confident that we can deliver our target of return on equity of 12% to 15% by the end of 2013. Our strategy is the primary lever to improve the group's performance, so we are increasing the intensity of execution in 2012. And finally, I'm pleased to report that we had a good start to the year with a strong performance in January. We will now take your questions. Before we begin, the operator will explain the procedure and introduce our first question. Operator?
Operator: [Operator Instructions] We'll now move to our first question today, which comes from Alastair Ryan of company UBS.
Alastair Ryan - UBS Investment Bank, Research Division: A couple of things. First, just the mix of higher dividend on a somewhat lower capital base. Now clearly, you've got plenty of capital and the distributions have been relatively low historically, which is whether we can read anything into the regulatory environment that you've been facing, which has been very aggressive in the past couple of years whether there's any signs of moderations or, I guess, once they're developed [ph] and then for perhaps ensure that the pace of the legacy portfolios declining in significance, fourth quarter was perhaps better at [indiscernible] than we all -- others had expected whether that rundown is now smoother than the sort of choppy we all saw in the second half. And also the legacy credit portfolio, down to $35 billion, but whether you have an aspiration to get that out quickly, so your balance sheet's clean or whether it’s more about not impacting revenues too greatly, so just as you say, underlying revenue?
Douglas Jardine Flint: Alastair, Douglas. On the dividend, I mean I think as far as the regulatory environment is concerned, we did get some good progress last year in terms of the ICB and the U.S. and CRD4 in Europe. And some of the aspects that look more troubling have been moderated at least, in principle, so far. So I think while there's an awful long way to go, there was some progress made in 2011. I think one of the other things that impacts thinking about the dividend, is as Stuart has said in relation to the legacy business both in North America and elements of credit portfolios in Global Banking and Markets, these will run off over some years from now. And that releases capital, which I think is one of the factors in the board's mind as we think about the opportunity to have a progressive dividend. But that really takes you into the question about how fast will this business run down, so I'll pass over to Stuart.
Stuart T. Gulliver: I think also, Alastair, we've set 2012 at [indiscernible], which is the same obviously as the first 3 of 2011, which gives us a bit of flexibility in terms of the regulatory environment. So yes, there is capital release as these run down, but the regulatory environment is getting more clear. But equally, we want to retain some flexibility in that regard, which is why we set it at 3 lots [ph] of 9. On the runoff portfolios, I mean I'll let Iain talk in a little bit of detail in a moment, but to your point about -- and I think which is you're asking is, would we look to sell down some of those portfolios if the opportunity arose. Actually, we've been looking at doing this anyway and we've been doing it in Global Banking and Markets for quite some time. It's a very simple mathematical calculation to whether the RWA is so large and the cost of capital, therefore, is greater than effectively the market -- mark-to-market loss to be taken to just clear it off the books. And we've set up a team of people now around, for household portfolio, to be able deal with reverse inquiries that maybe coming in from investors who are probably outside the banking industry that may be looking to take pockets of residential property. And as I say, for some time now, in Global Banking and Markets, we've had a team doing exactly the same thing with the legacy books there. It's a very simple mathematical calculation. So if we could accelerate it and use some of the gains from various disposals as it made more sense to take losses to get them off the book than to continue to pay for the capital against such large risk-weighted assets, we'll choose to do that.
Iain James Mackay: Alastair, in terms of how the runoff portfolio in the U.S. is running down, the pace has remained fairly consistent when compared to last year. We run down those portfolios by a little bit over $9 billion, nearly $10 billion this year, which is reasonably comparable to what we did 2010 over 2009. We're sitting at $49.5 billion at end of the year. That's compared to about $80 billion at the end of 2009, the rate at which it's running down is reasonably consistent even -- although our portfolio continues to mature and in a pretty horrible U.S. housing market. The way that runs down continues to be fairly consistent even from 2009 where the proportion that's charged off versus the proportion that's paid down is actually fairly consistent as well. In terms of how that reflects on our capital base, offloaded book values have come down by nearly $10 billion. The risk-weighted asset reduction was less than $4 billion and within that, the FSA asked us to put a little bit of a capital override in this book as well, how far we continue to work with them on some of the modeling around the rundown in the portfolio. So though we see the book values run down quite -- very much in a consistent manner, we're not getting the full benefit of that coming through capital. But as we continue to run it down, we'd expect to see capital release build over time.
Operator: We now move to our next question from Chris Manners of Morgan Stanley.
Chris Manners - Morgan Stanley, Research Division: I just had a sort of couple of questions for you on Asia. And firstly, just on the loan growth. In Hong Kong, you'd had sort of flat loans in the third quarter and the fourth quarter. Rest of Asia Pacific also had quite slow loan growth. So I was just interested in how you saw that loan growth continuing going forward. I mean do you see more opportunities there to increase the GDP [ph] ratio? And secondly, just on the impairment charges, I know the -- obviously, you're running below the normalized level. Are we seeing any -- an uptick in impairment charge in Asia, or are we actually still seeing quite a benign environment? Just those 2 comments would be helpful.
Stuart T. Gulliver: We're still seeing quite of a benign environment. There's no sign of an uptick. And indeed, even if we normalize to sort of averages over the last 5, 6, 7 years, actually they're still at quite low levels compared to other parts of the world. So even the normalized charge is quite manageable. And then on loan growth, we'll continue to build our business up there as opportunities arise. There's no override either coming from the center to slow down growth. It will be driven by business opportunities as they arise. And we're expecting positive GDP growth in Asia Pacific, so I'd expect the book to continue to grow.
Operator: We now move to our next question from Rohith Chandra-Rajan from Barclays Capital.
Rohith Chandra-Rajan - Barclays Capital, Research Division: A couple of questions on costs, if I could, please. Just trying to look at the quarter-on-quarter trend in the costs and stripping out some of the notable items that you highlight, although not quite sure about the quarterly allocation of those. So just wanted to confirm whether this was consistent with your thinking that if we strip out the additional PPI charge, restructuring and U.S. mortgage servicing costs, the fourth quarter costs were broadly flat on the third quarter or down if you also stripped out the bank levy. So that was the first question. And then secondly, you highlighted $1.3 billion run rate of cost savings, confident of getting towards the upper end of the $2.5 billion to $3.5 billion target range. I'm just wondering how should we think about the trajectory to get there, so particularly how much might be achieved in 2012?
Stuart T. Gulliver: Yes, I mean if you make those adjustments, yes, the third, fourth quarters were flat. And the thing, I think to look at in terms of trajectory, and this is why we put the slide in, is the decline in headcount. So you can see, basically, if you think about it, we started -- we had the strategy day in May, we started effectively restructuring the firm. A lot of the acceleration effectively takes place in the fourth quarter and continues on into this year. So one of the reasons we gave you that chart on headcount is clearly that informs a lot of where the costs come from, so we would expect to show more progress in this area during 2012.
Rohith Chandra-Rajan - Barclays Capital, Research Division: Could I ask an unrelated question, actually? Just on the U.S., if there's any update on the sale of the Cards business, and when that is sold, any further comment you can provide on ability to repatriate that capital?
Stuart T. Gulliver: We need to close the transaction, first and foremost, and then really then see how the regulator is positioned. I don't think there's any more clarity we can provide today on that. I certainly don't think you should be penciling in for 2012 that capital coming out of United States. As you also bear in mind, that we are looking to develop the Commercial Banking in the U.S., which will consume some of that capital.
Operator: The next question now comes from Michael Helsby from Merrill Lynch.
Michael Helsby - BofA Merrill Lynch, Research Division: I just want to follow up on the question Chris asked on loan growth. I noticed that Commercial Banking loan growth was negative. If you looked at the second half versus first half and that's a clearly a very, very notable slowdown and that revenue actually fell Q-on-Q in the fourth quarter. And also just, again, there was a huge slowdown in the rate of growth in Hong Kong and in rest of Asia in the second half. So I was just wondering, I appreciate that you clearly want to grow those business, but what went on that was special in the second half, which broke that trend very significantly. Then just on costs. I was looking at Slide 11, I just wanted to clarify the comment that you just made on flat Q-on-Q where you strip out the notable items. The fourth quarter cost line of 9.7% versus 9.4%, is there something else in that 9.7% that we need to be aware of? And I was actually quite surprised that it was running a little bit higher, given the weaker revenue environment. Clearly, that's the -- the way if I look at that slide, that's the second highest quarter in the last 8. So if you could just give us a little bit more color on what went on in the fourth quarter, please.
Stuart T. Gulliver: Yes. Sure, on CMB, actually, lending continued to grow. So I'm not sure quite what you're looking at there. It might be a currency translation effect coming out of currency local balance sheet, so that is an actual -- whatever you picked up isn't exactly what's happening. Well, loans and advances to customers on the data we all have is -- has continued to grow. And Asia Pacific, or Hong Kong in particular, obviously, we've grown it at a very aggressive pace, as I think you've remarked on a couple of times as we caught up on the fact that we've put our foot off the gas in sort of 2008, 2009 when we did the rights issue. Obviously, what we now have is we believe we've caught up. So any future growth is really dependent on GDP and business opportunities that come up rather than taking back market share that we may have lost. And that, by definition, is at a lower rate. On the costs, there's a big restructuring cost number in there.
Iain James Mackay: There is. There is higher restructuring within the fourth quarter that are slightly higher, legal and compliance costs in the fourth quarter, mostly in the United States. And those are probably the 2 features that you're picking up there, Michael.
Michael Helsby - BofA Merrill Lynch, Research Division: Okay. So there are not any notable items?
Stuart T. Gulliver: No, because individually they're not that particularly significant.
Operator: Our next question now comes from Christopher Wheeler from Mediobanca.
Christopher Wheeler - Mediobanca Securities, Research Division: A couple of questions. Perhaps the first one, to go back to the U.S. business and to talk about the settlement on U.S. foreclosures and perhaps could you tell us your position in terms of the settlement that's taken place with the big banks? Are you now moving towards the situation where you can start to foreclose again? How long will it take for you to get your procedures agreed? And then perhaps talk a little bit about what you think that might do, both to the speed of the runoff and obviously any additional costs that you may have to take through the P&L in terms of that agreement. That's the first question. And the second one is a pretty simple one. Just want to confirm on Slide 14 where you've really kindly given us the Basel III update. I assume the 0.1 adjustment to Basel III capital means that this is without the additional capital deductions that will be phased in between '13 and '19. I think that's the case, but we just appreciate the clarification.
Iain James Mackay: So I'll take your last question, first, Chris. What we've shown you on Page 14 takes you only through the end of 2013. It does not take you the whole way through to 2018 and '19 for the simple reason that the world and the regulatory environment remains particularly uncertain, whether it's with respect to calibration of CRD4, the possible impact of capital requirements and PLAC requirements under ICB, G-SIBs, so on and so forth. So we take it through to '13 because we've got reasonable line of sight to '13. We did not take it beyond simply because of the uncertainty on that point. As relates to the U.S. settlement, the big 5 as it were, have reached a settlement. We, as you see in the financial statements, we did take a provision in the fourth quarter for settlement as it relates to similar conditions as the top 5. However, those discussions are still in a very early stage with the Department of Housing and Urban Development, which is the agency that the U.S. government has assigned to settle with the other 9 banks that were involved in this. There were 14 in total, as you'll recall. In terms of the specific details about how that settlement works out, it's still very, very fluid. And frankly, the reserve that we took was based on the best possible information that we had based on the stage of progress within those discussions. I think, overall, the fact that we are reaching as an industry, the stage of development in the U.S., it's good for recovery of the housing market. Clearly, the amount of work that we and others have done in terms of improving the quality of administrative procedures around foreclosure processes has us back doing foreclosures in 48 out of the 49 states in which we operate in the U.S. This is all good. It will ultimately lead to some form of sustainability in the recovery of the U.S. marketplace, but I think that's still some time to take. But I think, as I mentioned earlier, the runoff of our book continues to progress very much in line with our expectations and as we learn more in participating in the settlement processes with the Department of Housing and Urban Development, we'll keep people posted. But I think we've taken a view based on all the information we've got available at this point, and are reasonably happy with that.
Operator: Our next question comes from Ian Gordon from Investec.
Ian Gordon - Investec Securities (UK), Research Division: It's Ian Gordon from Investec. Just 2, please. Obviously, I can see the group net interest dollar are still edging down, but could you just update me on your views in terms of the developments of the margin in Hong Kong and Asia Pacific, in particular, where you certainly referenced some asset spread expansion at the Q3 call? And then the second question, forgive me for raising it again, but just in relation to the $3.5 billion reduction in CMB lending in Hong Kong in the second half of 2011, I see in the text you referenced a reduction in certain trade-financed loans in CMB. So is it x that item that, Stuart, you're referencing the underlying growth?
Iain James Mackay: Let me take the net interest margin in Asia for the moment. Comparing 2011 and 2010, net interest margin expanded from 180 basis points to 191 basis points. There's a number of factors that bear that out. Certainly if you look specifically at Hong Kong, it was a slightly higher instance if high board-based lending products, margins tend to narrow very slightly in Hong Kong over the course of the year. Outside the Hong Kong market, the opportunity to reprice assets, movements in policy rates in some countries like China, India, Australia, for example, certainly, helped both in terms of asset pricing as well as the yield that we can pick up on the liability side of the balance sheet. So overall, performance in net interest margin in the Asia Pacific region was fairly positive and continue the trend that we talked about at the third quarter. So that's about it in the net interest margin front. On the Commercial Banking front, I think, broadly, we saw a continued growth as far as lending, so -- and acknowledged at the third quarter that we had slowed the rate of growth in the second half of the year, partly because of, frankly, some moves taken by regulators in Mainland China and Hong Kong to slow down the supply of credit or the constraints in the supply of credit in those marketplaces, and our businesses were a function of that. But we very much continue to focus on the growth of the businesses.
Stuart T. Gulliver: If I may, the 2 things. The Hong Kong one is a particular piece of trade finance kind of that went backwards with forwards between the Mainland and Hong Kong, which was then discouraged by the regulators. So this was taking place in all bank's balance sheet. It's a specific item that doesn't really inform anything about the underlying trend of growth of Commercial Banking. And then if you look at that footings overall, the reported CMB lending down in the second half is due to currency. So if you look at places like India, Latin America and bear in mind that we're reporting in dollars, actually there's a currency decline that comes through in the dollar numbers. The underlying is actually up 2%. So the Hong Kong, specifically, kind of build-base financing thing between the Mainland and Hong Kong that's kind of gone away, but didn't really inform a huge amount of our P&L anyway. And the overall footing is due to currency moves in Latin America and India, in particular, local currency against U.S. dollar.
Operator: Our next question now comes from Ronit Ghose from Citi.
Ronit Ghose - Citigroup Inc, Research Division: I had a couple of questions on capital. First of all, thanks for the Basel III guidance for 2013. When we try to estimate fully looked-through number, we get to slightly below 9% in 2013 on Basel III. I wonder if you could share any thoughts on that? Secondly, on the dividend, you set the first 3 quarters the same as this year or 2011, are you committed to a progressive dividend policy? And finally, on Hong Kong, with the risk of irritating management here, can you just confirm that, that sort of back and forth to the Mainland is all done now and that rundown in trade finance, particularly in Hang Seng Bank, is basically an '11 event?
Stuart T. Gulliver: So we are still committed to a progressive dividend policy, but we obviously want to retain the optionality to see how 2012 evolves. And then about re-capital.
Iain James Mackay: Certainly, re-capital, as I mentioned earlier, Ronit, we've really given a view through the end of 2013 and have not gone beyond that, based primarily on the fact that there's still enormous amounts of uncertainty. However, certainly, as we reflect on the out years, our guidance that we gave you back in the Investor Day around how we saw the impact in our capital base coming from the broader implementation of Basel III remains highly consistent even as we update it with our ability to generate mitigating actions as well as further interpretive guidance comes around the implementation of those capital requirements, the guidance remains very consistent with what we gave you back in May of last year.
Stuart T. Gulliver: And on the trade financing, yes.
Operator: Our next question now comes from Bruce Packard from Seymour Pierce.
Bruce Packard - Seymour Pierce Limited, Research Division: Just looking on the face of the balance sheet, there's some quite large movements in trading assets and also derivatives. And I'm just wondering, is there something fundamental going on there, or is that just noise?
Iain James Mackay: Well, there was a concerted effort over the second half of the year and particularly the fourth quarter to manage down trading asset exposures, and I think that's what you're seeing coming through. In terms of derivative valuations, it's really a function of market movements as you looked at spreads widening in the -- well, narrowing and then widening again in the fourth quarter. That particular informs the valuation of derivatives, principally interest rates -- interest rate derivatives, that we have both in the trading portfolios as well as the broader management of the business. So overall, the -- what is informed the trading, the reduction was, a purposeful effort in the part of Samir and the team to move down their exposure to trading assets in the fourth quarter, which, by the way, tends to be a function that we undertake at the end of each year as we close out particular positions.
Operator: And we move to our next question from Alistair Scarff from Bank of America Merrill Lynch.
Alistair Scarff - BofA Merrill Lynch, Research Division: Just wondered if I can ask 2 quick questions. Firstly, in regard to dollar liquidity in your faster-growing markets, we're hearing from various banks that there has been a tightening. Is that something you've observed and if so, are you seeing a better pricing environment for dollar liquidity? And second question relates to trade finance. Is trade finance under the new Basel 2.5 and III? Is the risk weighting going to change materially? And if so, how that will affect the bank's position, obviously, with a 9% market share in that space? How will the capital be impacted?
Stuart T. Gulliver: Okay, in terms of liquidity, we continue everywhere to operate with a very conservative AD ratio, so it hasn't really had an impact on us. So we haven't really seen a particular squeeze on margins in U.S. dollars. Where we've seen a margin squeeze on the liability side has been in places like Brazil because rates went up. And in places like the U.K. where the state-owned banks are looking to deal with AD ratios substantially above 100, but we haven't seen effectively margin compression because of competition for dollar liquidity in the emerging markets.
Iain James Mackay: Absolutely, Stuart. I mean when you look at trade financing in Basel III, this is, actually, Alistair, one of those areas, which is still open to pretty broad interpretation and discussion as it relates to CRD4 and the development of that. As you're probably well aware, there is a fairly healthy level of consultation and debate around possible impact on, specifically, that guidance on growth and the growth agenda, particularly in European environments. So it's one of those areas of uncertainty, but I think we're making real headway in terms of persuading the powers that be that from a trade finance perspective, they need to seriously revisit and are revisiting the implementation of Basel III through CRD4.
Alistair Scarff - BofA Merrill Lynch, Research Division: Great. And if I can have just one final follow-up in relation to your FTE count. Is the momentum that you've shown since the first quarter of 2011, is this trajectory something which we'd expect to see as you intensify the execution of your strategy? Or has the lion's share of the headcount aspect, net, of course, net headcount aspect being taken out and we'll look for a more of a stabilization of headcount around current levels on an aggregate basis?
Stuart T. Gulliver: No, you should have seen that there are further reductions to come.
Operator: And we'll move to our next question from Robert Law from Nomura.
Robert Law - Nomura Securities Co. Ltd., Research Division: I have 2 questions, please. Firstly, on the targets that you've restated for 2013, and I know you give these targets serious consideration when you put them out, and if I look at the cost-income ratio, it's -- whether you make it underlying or reported or whatever, you've just reported about 60%. And I then look at where our consensus is for 2013 and again consensus is somewhere around the 56% type level, so well above the top end of your target range. And I just wanted to ask, invite you to comment on what you think the market might be missing in terms of the assumption that the kind of cost-income ratio targets that you've got for 2013, that's the first one. Second one, more briefly, could you comment on the outlook this year and then in subsequent years for the BSM revenues, please?
Stuart T. Gulliver: Yes, sure. Bob, on BSM, I think the kind of rough guidance will be $2.5 billion to $3 billion for 2012 would be a reasonable place to put BSM.
Robert Law - Nomura Securities Co. Ltd., Research Division: Beyond that?
Stuart T. Gulliver: Sorry?
Robert Law - Nomura Securities Co. Ltd., Research Division: And beyond that?
Stuart T. Gulliver: $2.5 billion. And then on the cost efficiency ratio, clearly, you're right, in the sense that we have somewhat trapped ourselves by putting a ratio in as opposed to an expense target. But actually, in order to keep the pressure up within the firm, we will have to stick to aiming to that $52 million. But actually what we think will happen is that we'll hit the cost side and the revenue side to some extent's in our control and the revenue side, to some extent's not in our control because it depends on what happens in things like the Eurozone. But as things stand at the moment, we stick to it. We'll revisit this at the Strategy Day in May. But you're right, we've got a ratio that, at this moment, appears to be somewhat heroic compared to where we are. But we are absolutely determined to get the $2.5 billion to $3.5 billion of sustainable cost saves out of the firm and that's what we were programmed to do. What we'll need to think is whether we, in fact, bring alongside the cost efficiency ratio an absolute expense target and whether that might be a sensible thing to introduce in addition to the cost efficiency ratio.
Robert Law - Nomura Securities Co. Ltd., Research Division: All right. Okay, as a supplementary to that, the restructuring charges you've taken over, they're at a $1 billion last year. Any assumptions you've made in the targets? Do those go to 0 by the time the targets come into effect?
Iain James Mackay: I think, Robert, I mean as we gave a little more detail what's inside that $1.1 billion, we've got $542 million relates to people and about $320-odd million, $325 million that relates to software programs. We have very much dealt with legacy software issues, I think in the numbers that we put in there. So I think it would be unlikely to see that to recur. And if you equate the $542 million to the actions we've already taken in terms of delayering the firm and striking the right focus around deployment of our human resources, then it probably helps inform a little bit what sort of restructuring charges might look like as we continue to work through the reshaping of the firm. But certainly, by the time we reach the middle tail end of 2013, we would have expected to have worked through the majority of restructuring charges.
Operator: Our next question now comes from Gary Greenwood from Shore Capital.
Gary Greenwood - Shore Capital Group Ltd., Research Division: Just had 2 brief questions, the first was on Asia. You mentioned that you're taking market share in GBM as European banks withdrew capacity. Are you doing that whilst maintaining prices? Are you seeing opportunities to reprice it as well? And then the second question was just following on from Robert's question on cost income ratio. I think your previous guidance when you talked about return on equity, you'd guided towards the bottom end of the range by the end of 2013. I'm guessing from what you're saying on cost income ratio, that, that's probably still true that you were looking towards the bottom end of the range on the ROE guidance?
Stuart T. Gulliver: Yes, in November I actually said on both that we'd have to go to the bottom end of both ranges, say 12 on the ROE, 52 on the cost efficiency. And nothing's changed in terms of those being the logical ends of the ranges to aim for. In terms of European bank and taking market share, there, at the moment, is no ability to flex pricing because we're not the only guys -- the American banks, the regional banks, regional Asians and the Chinese banks are all in good shape and are competing for the business.
Operator: And I move to our next question from Tom Rayner from Exane BNP Paribas.
Thomas Rayner - Exane BNP Paribas, Research Division: It's Tom Rayner from BNP here. Just a couple of questions, please. One, just on the dividend payout slide where you show the pie charts with the variable pay, the retained earnings and the dividend, just want to make sure I do understand how that links to a sort of desired payout ratio in terms of ordinary dividends relative to earnings in any particular year. So I think if I understand it rightly the pro forma number you referred to is before variable pay and the dividend number includes dividends to non-ordinary equity. So I'm just trying to get a sense versus, I think, what was a 44% payout ratio in 2011? What are you trying to tell us, if anything, with that slide? And I have a second question, please.
Iain James Mackay: Right. So on the dividend payout ratio, we have 42.4% as the payout ratio, which is in the range that we talked about at Strategy Day of 40% to 60% of our payout ratio. When you track across to the slide in the deck, which gives you a broad framework for the distribution or, if you like, the allocation of our profitability and this reflects, if you like, our philosophy, which in many of the previous years in HSBC, not all, admittedly, but in many previous years has been a faithful reflection of what we've done where we focus on retaining the majority of the profits that we generate in any given year to retained earnings, to build capital and reinvest back into the business; as a distribution in any given year, somewhere in the range of 35% of that profit attributable to the year; and then 15% in an after-tax basis for variable compensation. So there is not a direct mathematical link between the dividend payout ratio that we've reflected in our financial statements and that which is reflected on this chart. I think one thing to note is that in each year we tend to get a fairly healthy contribution by script take-up within our business. And generally speaking, that probably contributes for the difference between what we have in the page of 35% and the payout ratio between 40% to 60% within our targets, okay?
Thomas Rayner - Exane BNP Paribas, Research Division: Okay. So if we add the script in -- so if we added the script, you'd be -- yes, okay, okay. Fair enough. So just the second one, sorry, to just go back to the loan growth. But I mean, I can tell it seems somewhat irritating that people are trying to draw the wrong conclusions about what the volume growth is doing in different parts. But if you look at the disclosure you've set, I think it's quite hard to sort of get back to an underlying constant currency sort of growth, certainly in the second half. I mean, the full year underlying that you report was minus 1% for the group loan growth and obviously there's a U.S. runoff within that and there's all sorts of currency issue. I mean, is there anything you can tell us or any way you can point us to within your release or the presentation?
Stuart T. Gulliver: That's a bit technical is the Hong Kong -- there was a significant pop-up in 2011 that you can see in HSBC in Hong Kong and in Hang Seng in Hong Kong. But basically, U.S. dollar loans is back with R&B collateral, which the Hong Kong Monetary Authority then cracks down on, for want of a better expression, because it obviously involved significant kind of onshore, offshore arbitrage between Hong Kong and the Mainland. So therefore, a chunk of the trade-related lending in Hang Seng and HSBC in Hong Kong increased from Dec '10 to June '11 and then back down again to Dec '11 is that phenomenon. But if, again, if you look at Hong Kong, 31st December '10 to 31st December '11, the total growth loans and advances go from $49.2 billion to $55.5 billion. It's just that they were $59.1 billion at the half year and came back down again because of this one technical aspect. So then you're left with the runoff of the loan portfolio in the United States and currency adjustment. And there's one other element in the U.S. is that the Cards and Retail Services business and the branch network, those loans and advances as well as associated liabilities have been classified as held for sale, so they've come out of the loans and advances number. So when you look at the loans and advances number in the overall balance sheet, you've got to look at other to get back to the customer loans and advances that, if you like, you first thought of. So if you go to the balance sheet stuff on Page 104 of the annual report and accounts and also the balance sheet page, which is on Page 32, you'll see in it that loans and advances to customers are $940 billion and what you're looking at is $958 billion at the end of '10. But of course, we've reclassified the businesses that are up for sale and they sit in other assets, which has gone up from $145 billion to $156 billion. $40 billion has been reclassified, so that's why we're kind of talking at cross purposes, I think.
Thomas Rayner - Exane BNP Paribas, Research Division: I think so. I mean, in terms of where you think underlying sort of clean...
Stuart T. Gulliver: It’s up 3.3% excluding reclassification year-on-year and excluding the bit in the middle of the year due to particular activity in Hong Kong.
Thomas Rayner - Exane BNP Paribas, Research Division: Absolutely. And would that have been stronger in the second half than the first?
Stuart T. Gulliver: No, first half is stronger than the second. So the massive confusing thing is the reclassification of the businesses now held for sale and the RMB-U.S. dollar bit in Hong Kong.
Operator: Last question now comes from Raul Sinha from JPMorgan.
Raul Sinha - JP Morgan Chase & Co, Research Division: If I can have 2 just to wrap up then, firstly, one for Stewart. So can we have your thoughts on the LTRO, please. I mean what was the reason for the tick-up and what do you plan to do with the proceeds? And secondly, if you could comment on GBM performance, how you finished the year in Q4 and how you started the year in 2012 particularly credit was a very difficult -- credit and rates were quite difficult areas for you in Q3 and Q4. Do expect some of that to alleviate in 2012?
Stuart T. Gulliver: Yes, certainly. So the LTRO, in the first round of the LTRO, we took $5.2 billion, of which $5 billion was in France and the remainder was in Greece and in Spain. The reason that we took the money was quite straightforward. So clearly we don't need it. We've got $129.9 billion line with central banks at the end of the year and our advanced deposit ratio of $75 billion means that we have $313 billion more deposits than we have customer advances. The reason we did it is actually, frankly, because we think it adds -- the LTRO, we think, is a great move by the ECB, which helped stabilize the European situation. We felt that actually it did not contain any stigma and indeed, by ourselves going into it, it actually helps remove the stigma. What we've also done with it is -- so what are we using it for? So it sits in France, the 5 -- the biggest chunk and effectively it is financing lending to French corporates and our participation in the French short-term government bond market. And what we've also done with it is we've ring fenced it so that it does not contribute to bonus pools. What it will do is after positive carry, and that positive carry will add to the capital base of the French bank, which will increase the ability of the French bank to lend to French companies. So we've done it really in line with the authorities because we think it was a very, very significant stabilization of the Eurozone system and that's why we did it. We've ring fenced it so it doesn't benefit any bonus pool and it basically helps us build up capital within France, which we'll use to expand our business. And as I say, bear in mind, we were sitting with $130 billion of cash with central banks at the end of the year and a very strong AD ratio. And therefore, we also think by doing this, it kind of removes the stigmatization that anyone else might feel about it. Actually it's similar to what we did in 2008 when the special liquidity scheme of the Bank of England was put together, we also participated at the request of the Bank of England in that again so that everyone was in it and again that was a situation where, frankly, we didn't need it and actually we left the money in our nostro account with the Bank of England. So that's really what's behind that and we'll probably, in the second round, borrow about $320 million, which again will be in Greece, Spain and Italy and those will be effectively funding corporate loan books. Global Banking and Markets, yes, the fourth quarter was difficult because of the Eurozone and the credit and rates piece was actually particularly acute, to be honest, in the third quarter. The third quarter was very, very difficult. Fourth quarter recovered somewhat. And January has been actually very good, which I'm sure it has been for most people who've held their positions. I can't really comment on February because we haven't finished the month yet. Okay, that brings us to end. So just in closing, I just would like to recap our key headlines. Strong growth in the faster-growing regions, a record year in Commercial Banking. I think we've made good progress in the first year of our 3-year strategy, progressed to simplify the structure and improved the management of the firm, thereby, improving returns and positioning HSBC for growth. So we'll be in touch soon about the first quarter IMS and the Strategy Day in May. But in the meantime, thank you all very much for your time. Thank you.
Operator: Thank you, ladies and gentlemen. That concludes the HSBC Holdings plc Annual Results Call. You may now disconnect.